Operator: Good day, and thank you for standing by. Welcome to the Unitil First Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] Thank you. I would now like to hand the conference over to your speaker today, Todd Diggins, Director of Finance. Sir, you may begin the conference.
Todd Diggins: Good morning, and thank you for joining us to discuss Unitil Corporation's first quarter 2022 financial results. Speaking on the call today will be Tom Meissner, Chairman, President and Chief Executive Officer; and Bob Hevert, Senior Vice President, Chief Financial Officer and Treasurer. We will discuss financial and other information on this call. As we mentioned in the press release announcing this call, we have posted information including a presentation to the Investors section of our website at unitil.com. We will refer to that information during this call. Moving to Slide 2, the comments made today about future operating results or events are forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent annual report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP financial measures. The accompanying supplemental information more fully describes these non-GAAP financial measures and includes a reconciliation to the nearest GAAP financial measures. The company believes these non-GAAP financial measures are useful in evaluating its performance. With that, I will now turn the call over to Chairman, President and CEO, Tom Meissner.
Tom Meissner: Thanks, Todd, and good morning, everyone. Thanks for joining us. I'm going to begin on Slide 4, where today, we announced strong results for the first quarter of 2022 with net income of $21.5 million and earnings of $1.35 or 7.1% over the same period of 2021. Looking ahead, we maintain our long-term guidance of 5% to 7% growth in earnings per share with near-term earnings growth expected to be above the upper end of that range. We continue to deliver superior service to customers and customer satisfaction remains at an all-time high. Our focus on operational excellence ensures that we provide high levels of safety and reliability. On the fourth quarter call, we refreshed our investment outlook and I'd like to quickly reiterate that we continue to see strong investment opportunities and expect long-term rate base growth of 6.5% to 8.5%. Bob will provide more detail on our investment plan later in the call. Finally, we view sustainability as essential to our long-term success. In addition to our commitment to reduce company-wide greenhouse gas emissions, we are also looking at ways to introduce low-carbon supply options. One way to do this is by integrating renewable natural gas into our supply portfolio. In New Hampshire, Senate Bill 424-FN, which would provide a path to procure up to 5% of our gas supply from renewable sources has passed the Senate and is working its way through the House of Representatives. Moving now to Slide 5. As I just touched on, our focus is on continuous -- our focus on continuous improvement has led to exceptional results. Our electric reliability continues to be outstanding. And in fact, through the first 4 months of this year, we are on a pace to achieve our best results ever. Our gas emergency response is also among the best in the industry, and the American Gas Association has recognized us for our outstanding emergency response and action and prevention. For the second year in a row, Unitil is the top-ranked utility in the Northeast for customer satisfaction and is ranked 18th out of 113 utilities nationally. Turning now to Slide 6. We're fortunate to serve the Maine and New Hampshire Seacoast regions, which are experiencing robust growth and development. Across our service areas, approximately $8 billion in construction is currently planned or underway adding thousands of potential new customers and encouraging further economic development. The bulk of that development is occurring in our Maine service area with over $5.3 billion of investments planned. We see that growth reflected in both construction employment and the number of building permits being issued. Portland, Maine, which is the largest city north of Boston has about $1.4 billion of plant construction, including residential, commercial and mixed-use buildings. This development will continue to enhance the area's appeal to both residents and business owners. There are also 2 campus style developments underway in Maine, Rock Row in The Downs each spanning hundreds of acres. These community themed developments feature residential and commercial elements designed to harmonize and support each other. Projects such as these, which are already in the construction phase, will provide the company with considerable long-term growth opportunities. The Portsmouth Naval Shipyard in Kittery, Maine was recently awarded a $1.7 billion multiyear expansion project, which will create jobs and drive supporting investment in the surrounding communities. We see similar development in New Hampshire, which was recently named the second best date in the nation in which to live. In Salem, there was another large campus style project under construction called, Tuscan Village which will continue to provide customer growth opportunities. Lastly, in our Massachusetts service area, a new Amazon Distribution Center will spur economic development and create hundreds of new jobs. I think it's safe to say that these projects are just a few that represent the long-term growth opportunities we see in our service areas. We are looking forward to supporting that growth for many years to come. Turning now to Slide 7. Aside from new construction, we continue to see additional growth drivers play out for our natural gas division. As I've discussed in the past, in both Maine and New Hampshire, the predominant fuel for home heating is fuel oil. Natural gas continues to offer a significantly cleaner and more affordable alternatives. With on-the-main penetration of approximately 60%, we expect the price and environmental advantages of natural gas to drive low-cost customer conversions for years to come. Finally, while the company encourages the adoption of electric heat pumps, their output is generally not sufficient to provide adequate heat to most New England homes on the coldest winter days. Natural gas, whether it's the sole heating source or in combination with electric air source heat pumps continues to be the most economic fuel. With that, I'll now pass it over to Bob, who will provide greater detail on the first quarter results.
Bob Hevert: Thank you, Tom, and good morning, everyone. I will begin on Slide 8. As Tom noted, this morning, we announced first quarter earnings per share of $1.35. Net income for the quarter increased by $2.6 million or $0.09 per share compared to the same period in 2021. That increase, which represents year-over-year growth of just over 7%, principally is the result of higher sales margins, partially offset by higher operating expenses. Turning to Slide 9. Electric adjusted gross margin was $24.6 million for the quarter, an increase of $0.9 million or 3.8% compared to the same period of 2021. The increase in electric margin represents higher distribution rates and customer growth. Overall, sales increased 1.4% year-over-year, with commercial and industrial unit sales increasing 2.3%. Customers increased by 551 or 1.5% over the first quarter of 2021, reflecting growth in both the residential and commercial customer classes. Turning to Slide 10. Gas adjusted gross margin was $52 million for the quarter, an increase of $4.2 million or 8.8% compared to the first quarter of 2021. The increase in gas margins reflects higher rates of $2.8 million and $1.4 million from the combined effect of customer growth in colder winter weather. On a Degree Day basis, weather in the first quarter was somewhat colder than the prior year, but generally comparable to normal. On Slide 11, we provide an earnings bridge comparing 2022 results to 2021. As mentioned, first quarter 2022 adjusted gross margin increased by a combined $5.1 million, primarily as a result of higher distribution rates, customer growth and colder winter weather. Operating and maintenance expenses increased by $1.5 million, largely due to higher labor costs and professional fees, partly offset by lower utility operating costs. Depreciation and amortization increased by $0.6 million, reflecting higher levels of utility plant and service. Taxes other than income taxes increased by $0.6 million, primarily due to higher payroll taxes. Interest expense decreased $0.5 million due to lower levels of long-term debt and higher net interest income on regulatory assets and liabilities, partially offset by higher interest rates on higher levels of short-term borrowings. Other interest decreased by $0.6 million largely due to lower retirement benefit costs. Lastly, income taxes increased by $0.9 million as a result of higher pretax earnings. Turning now to Slide 12. Both the Unitil Energy and Northern New Hampshire rate cases are progressing well. You may recall that in late February, we filed a comprehensive settlement agreement in the Unitil Energy case. We are awaiting the commission's decision in that docket. As a reminder, both filings include multiyear rate plans and revenue decoupling structures that would enable the company to retain revenue associated with customer growth. We also are pleased with the recent order approving the company's time-of-use rate structure in New Hampshire. The order is highly consistent with our proposal and will promote electric vehicle adoption and system utilization. On Slide 13, as Tom noted, our investment outlook continues to be strong and totals about $755 million over the next 5 years. These investments will ensure the safety and reliability of our distribution system, enable system growth, advance our grid modernization initiatives and enhance the customer experience. There remains potential upside to the forecast. But overall, we anticipate the long-run annual rate base growth in the range of 6.5% to 8.5%, with our investment mix becoming increasingly balanced between gas and electric assets. Slide 14 provides the 5-year financing plan supporting our capital investment portfolio. We expect roughly 2/3 of our investment plan will be funded by cash flow from operations less dividends with the remainder financed by a combination of debt and equity. We will continue to target a dividend payout ratio of 55% to 65%, enabling us to reinvest earnings and reduce external financing requirements. Lastly, turning to Slide 15. I'd like to again note our recently increased quarterly dividend, which reflects our confidence in our ability to execute on our strategic plan. We will evaluate further accelerating our dividend growth over time as our payout ratio continues to decline. And with that, I will turn it back over to Tom.
Tom Meissner: Thanks, Bob. Ending on Slide 16. With the first quarter of 2022 behind us, we're pleased with what we have accomplished and where the company is heading. We continue to execute our plan, strengthen the company and improve our long-term prospects. We look forward to the company's future and believe we will continue to create sustainable long-term value for our shareholders. So with that, I'll turn it back to Todd.
Todd Diggins: Great. Thanks, Tom. That wraps up the material in this call. Thank you for attending. I will now turn the call over to the operator who will coordinate questions.
Operator: [Operator Instructions] Our first question comes from the line of Julien Dumoulin-Smith.
Julien Dumoulin-Smith: So first, you've noted some incremental opportunities around advanced energy systems and clean energy solutions. How should we think about timing for an update here? I know you mentioned the RNG bill and New Hampshire, but are there any additional data points that we should be on the lookout for?
Tom Meissner: In terms of when the timing might be it's possible we might have some updates later in the year, depending both on that bill and depending on current progress evaluating certain opportunities that we're currently developing internally. So we're a little bit conservative and that we're not going to telegraph anything externally, unless we have confidence in our ability to execute.
Bob Hevert: Kody, this is Bob. Just as a quick follow-up. You may recall, we've noted in the past that when we look at RNG, we've been looking at it principally as a supply issue, but we are actively evaluating projects. And the Senate Bill 424 New Hampshire, certainly would give us the option to invest in those assets as always subject to commission approval. But we are looking at perhaps, right now, although as Tom said, we're a little bit reluctant to talk more about it until we get further along and have more confidence in the outcomes.
Julien Dumoulin-Smith: Right. Okay. Understood. And then just second on inflationary impacts to raw materials, labor as well as power and gas costs, just wondering if you can discuss a little bit further on what you're seeing here and measures you're taking to mitigate customer bill impacts. And also just curious if there's any lessons learned maybe from last year that you can employ this year to help out with some of those customer bill impacts.
Tom Meissner: Sure. Kody, this is Tom. To the first part of the question, in terms of the significant impacts we might see inflationary impacts, I think the greatest impacts are going to be in our capital budget, and they're probably going to be reflected not so much this year, but in future years. We are seeing significant cost increases in equipment and materials as well as the lengthening of lead times on that equipment. So realistically, I think the biggest impact will be the capital budget. We're not yet seeing impacts on the O&M budget. I'll let Bob address the part about energy costs and customer bill impacts.
Bob Hevert: Kody. It's Bob again. In terms of energy costs, you may recall that in the states that we serve, where we provide default service, the objective of default service is to provide market signals. So our role really is to procure the supply and provide it to those default customers. And while the rate impacts had been somewhat high, it's been in line with what commissions have been expecting and our plans have been approved. You may recall too that in Massachusetts, we did work with the attorney general and with the department to somewhat mitigate the effect of increased default rates on the electric side. And in New Hampshire and in Maine, on the natural gas side, we have hedged effectively throughout the winter, we fixed about 70% of our commodity costs simply through the contracts that we have in place. So we were able to address those cost increases, either through regulatory solutions or through hedging strategies on the natural gas side. On O&M expenses, just one thing, the increase we saw in the first quarter really was associated with onetime effect. I would not extrapolate what we saw from the first quarter throughout the rest of the year for O&M expenses. We are looking at all areas of O&M to be sure that we continue our focus on cost control. So we're comfortable that we're able to -- we will be able to control O&M expenses going forward. On the capital side, we're fortunate because the cases that we have right now in New Hampshire both have step adjustments, which would allow us to recover incremental costs of capital investments including inflationary effects. Now there would be caps on those investments. But nonetheless, we will be able to recover the increased capital costs, as Tom noted, that we might see as a result of inflation. And in all of our jurisdictions, we have similar capital trackers that, again, enable us to recover the cost of prudently incurred capital expenses. So while we do see perhaps the effect of inflation coming on the capital side, we do have mechanisms in place to help us recover those costs.
Julien Dumoulin-Smith: Understood. That's super helpful. And one last one, if I can just sneak it in here before I pass it off. Just customer growth in low growth sales growth has been healthy, especially on the gas side, a 1.8% increasing weather-normalized sales year-over-year. In the first quarter, can you remind us what sort of assumption has embedded in that long-term 5% to 7% EPS CAGR?
Bob Hevert: Yes. Kody, we're really just assuming the historical rate of growth. Tom earlier in the presentation went over some of the projects that we're seeing in the Seacoast regions of Maine and New Hampshire. But for right now, when we look at our capital investments. And when we think about our long-term 5% to 7% earnings growth, it's really based on historical customer growth. We've not added really much to that although, of course, we'll revisit things as we get more information.
Operator: [Operator Instructions] I'm seeing no -- any questions on the queue at this time. Thank you all for participating. This does conclude today's conference. You may now disconnect.